Operator: Greetings, and welcome to the Doman Building Materials Group Fourth Quarter and Full Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Ali Mahdavi. Please go ahead.
Ali Mahdavi: Thank you, and good morning, everyone, and thank you for joining us this morning for Doman Building Materials fourth quarter and full year 2024 financial results conference call. Joining me this morning are Amar Doman, Chairman and Chief Executive Officer; and James Code, Chief Financial Officer of Doman Building Materials Group. If you have not seen the news release which was issued yesterday, it is available on the company's website at domanbm.com as well as on SEDAR+, along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight, March 14, 2025. Following management's presentation of the 2024 fourth quarter financial results, we will conduct a question-and-answer session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the company does not undertake to update any forward-looking. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today's call, and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'll now turn the call over to Amar.
Amar Doman: Thanks, Ali, and good morning. I'd like to begin by highlighting some of our key financial metrics, followed by some color on our operations during the fourth quarter, and then I'll hand the call over to Jay Code, our CFO, who can review the numbers in further detail. 2024 would be best described as a challenging year vis-a-vis pricing and several macroeconomic headwinds. However, it was also a year when we seized on several growth opportunities, which continue to further strengthen and expand our footprint in end markets. We started the year in very similar shape and market conditions that we experienced while exiting 2023 and 2024 witnessed great opportunity. Throughout the year, we remain focused with the business across all divisions and on both sides of the border, both operationally and with a view to acquisitions. Despite the impact of lower year-over-year pricing in certain construction material categories, our business units continue to show resilience in volumes, while delivering very strong gross margin performance. While pricing levels are nowhere near their peak in prior years, our continued action towards executing our strategic growth objectives, managing costs and optimizing operational efficiencies resulted in strong financial results as we closed out the year. Despite the impact of the lower pricing environment for construction materials on a year-over-year basis, we continue to demonstrate stability and strength in our financial performance given pricing levels for lumber, OSB and plywood markets in 2024 were often asynchronous during the year and at times meaningfully lower when compared to 2023, particularly in the United States. Despite this, our ongoing focus on key objectives resulted in strong revenues, gross margin, EBITDA, net income, while paying our shareholders a quarterly dividend of $0.14 per common share or $0.56 per common share on an annual basis. I am very proud of the company's performance throughout 2024 given the market conditions we had to work through. Despite trends and volatility that at times presented us with challenges, we remain encouraged and pleased with the resilience of our diversified business model withstanding these macroeconomic cycles, resulting in annual revenues, gross margin, adjusted EBITDA and net earnings totaling $2.7 billion, $425 million, $196 million and $54 million, respectively, in 2024. Our ability to deliver consistent performance across a variety of market cycles, results from our tireless focus on operations and to the many successful acquisitions we've completed throughout the years. 2024 also marked a period of significant corporate actions, including the acquisition of CM Tucker Lumber, as well as the purchase of Southeast Forest Products. These acquisitions have expanded our growing footprint in the United States and will further strengthen our position as a market leader while positioning Doman for further growth and expansion. We are very proud that our company now has reached from coast to coast in both Canada and the United States. Our ability to successfully complete these accretive acquisitions stemmed from the financial discipline to always have a growth-friendly balance sheet in place. Throughout 2024, we strengthened our financial flexibility by successfully renewing our $500 million credit facility, which we increased to $580 million in 2025 as well as completing $365 million in senior unsecured note offerings. Now focusing on the most recent fourth quarter results adjusting for seasonality, we experienced strong activity across all business divisions. Our ongoing cost management and focus on operational efficiencies enabled the company to demonstrate revenue performance, while gross margin continued to be within our target range as well as our EBITDA and bottom lines. We are proud of our financial performance and believe there's a lot to be gained from the strength and momentum, which has resulted from our successes in recent years. As a result of these efforts during the fourth quarter, we continued to see robust demand for our categories, resulting in revenues coming in at $708 million; gross margin at 16%, $113 million; adjusted EBITDA amounting to $52 million; net earnings of just over $8 million; and then lastly, as previously mentioned, our quarterly dividend of $0.14 per share was declared. Our ability to withstand market and pricing volatilities during the previous and most recent market cycles is a result of our tireless focus on operations, gives credit to the successful acquisitions we have completed throughout the years which have and continue to diversify our business model and as such, have enhanced shareholder value. We remain very enthusiastic and confident about the prospects ahead and look forward to further demonstrating the strength and leverage available in our business model as we continue to be well positioned to take advantage of sensible organic growth opportunities. On the heels of successfully integrating recent acquisitions, our relentless focus on paying down debt and strengthening our balance sheet remains a priority, which will enable us once again to be in a strong position to take advantage of strategic opportunities. Overall, 2025 is off to a decent start with its own unique challenges, which we are prepared to set up to deal with. I continue to be pleased with how our growth strategy continues to unfold, resulting in strong sales and earnings in the face of a tough year-over-year pricing environment while remaining focused on margin protection during these times. With all that said, I would now like to ask Jay Code, our CFO, to take over and provide a review of the company's full financial results in greater detail, and then we're going to open up the call for analyst questions. Jay?
James Code: Thank you, Amar. Good morning, everyone. Sales for the year ended December 31, 2024, were $2.66 billion versus $2.49 billion in 2023, representing an increase of $172.1 million or 6.9%, largely due to the positive impact of the company's acquisitions of Southeast Forest Products and CM Tucker Lumber completed in 2024. The company's sales in the year were made up of 76% construction materials compared to 74% last year, with the remaining balance of sales resulting from specialty and allied products of 20% and other sources of 4%. Doman's gross margin was $424.8 million versus $402.7 million in 2023, an increase of $22.1 million, benefiting from the contributions of our 2024 acquisitions. Gross margin percentage was 16% during the year compared to 16.2% achieved in '23 with the decrease in percentage gross margin largely due to the impact of 2024 slowing in the construction materials market. Expenses for the year were $306.5 million compared to $274.7 million, an increase of $31.8 million or 11.6% over 2023. As a percentage of sales, 2024 expenses were 11.5% compared to 11% last year. Distribution, selling and administration expenses increased by $22.6 million or 10.9% to $229.2 million in 2024 versus $206.6 million in the prior year, mainly due to expenses related to the acquisitions as well as broad inflationary pressures. As a percentage of sales, these expenses were 8.6% compared to 8.3% last year. Depreciation and amortization expenses increased by $9.1 million or 13.4% from $68.1 million to $77.2 million, mainly due to additions of property, plant and equipment and new intangible assets related to the 2024 acquisitions. Finance costs for '24 were $53.7 million compared to $40.5 million in '23, an increase of $13.2 million, largely as a result of the additional finance costs related to the new 2029 unsecured notes as well as higher interest rates on generally increased balances on our variable rate loan facilities in 2024. Directly attributable acquisition costs during this year were $3.3 million. These costs included due diligence, legal, environmental, financial, management resources and other advisory services directly attributable to acquisition activities. Adjusted EBITDA before these non-recurring costs was $195.5 million, a slight decrease of $539,000 or 0.3% compared to '23. Net earnings for 2024 were $54.2 million compared to $75.8 million in '23, a decrease of $21.6 million. Adjusted net earnings before the non-recurring acquisition costs were $56.6 million, a decrease of $19.2 million compared to '23. Turning now to the statement of cash flows. Operating activities before non-cash working capital changes generated $148.7 million in cash compared to $151 million in '23. Changes in non-cash working capital items consumed $41.2 million in cash versus $15.7 million in '23. The increase in cash used in non-cash working capital was largely related to incremental activities of the 2024 acquisitions. The company generated $345.5 million of cash from overall financing activities this year compared to net repayments of $85.8 million in cash in '23. Within overall financing activities, net debt increased by $491.8 million in the year, largely reflecting the funding sources for our 2024 acquisitions, purchase consideration and their related working capital activities. Our new 2029 unsecured notes generated gross proceeds of $366.5 million, of which $52.3 million were utilized to partially pay down the outstanding balance of our 2026 unsecured notes, which now stand at $272.2 million compared to their previous outstanding balance of $324.5 million. Net proceeds from the 2029 unsecured notes, along with the revolving loan facility and cash on hand were utilized as purchase price consideration for the '24 acquisitions. Shares issued net of transaction costs generated $1.5 million of cash compared to $1.2 million in '23. The company also returned $48.8 million to shareholders through dividends paid during the year, largely in line with 2023. Payment of lease liabilities, including interest, consumed $29.1 million of cash compared to $26.3 million in 2023. The company's lease obligations generally require monthly installments, and these payments are all current. We also note that the company was not in breach of any of its lending covenants during the year ended December 31, 2024. Overall, investing activities consumed $474.3 million of cash compared to $14.1 million in 2023. Investing activities this year included the acquisitions of Southeast Forest Products and CM Tucker Lumber for a total cash consideration of $460.8 million. Additionally, the company invested net cash of $13.4 million in new property, plant and equipment during the year compared to $14.1 million in 2023, representing purchases net of proceeds from dispositions. This concludes our formal commentary, and we'd now be happy to respond to any questions you may have. Thank you. Operator?
Operator: Thank you. [Operator Instructions] Our first question is coming from Matthew McKellar from RBC Capital Markets. Your line is now live.
Matthew McKellar: Good morning. Thanks for taking my questions. You've now been able to quote business with some national accounts across the U.S., and that's important to your customer base. My question would be now that you've achieved the ability to do that, does that imply any kind of shift in how you approach M&A or capital deployment more broadly going forward?
Amar Doman: No, I don't think it does. I think we want to continue to build out in certain regions where we still have opportunities, but certainly powering up in certain regions is something we're not afraid to do to take over more volume and more market share as time goes on. So we've got a lot of runway out of us to continue to grow, especially in the United States.
Matthew McKellar: Great. Thanks very much. You've also made a couple of comments around taking advantage of organic growth and strategic opportunities. Is there any more you could provide in terms of color around what you may be contemplating there? And maybe more broadly, aside from delevering and integrating your two recent acquisitions, what are your focus areas for improving the business in 2025?
Amar Doman: Yeah. I think it's exactly those. Organic growth, certainly leveraging the national footprint that we now have in the U.S., especially trying to grow share in Canada. Canada's market is a bit softer, as we all know here with housing. But certainly, we're trying to grow our market share every day. Again, with the product lines that we carry, we're always looking at putting in new product lines. In the U.S., we would like to slowly continue to expand to add to our treated lumber arsenal down in the States with some product lines when they make sense and the opportunities arrive for us. So we'll continue to work on that, and that's the organic piece. Acquisition, certainly, we've done a couple of large ones this year -- sorry, last year and are digesting those this year. So our hands are full there, but things are in good shape, and our new teams are just doing an excellent job. So we're very proud of those acquisitions.
Matthew McKellar: Great. Thanks. And last one for me. How should we -- what should we expect for CapEx in 2025?
Amar Doman: Yeah. I think it's going to be maybe 15% higher than last year, just depending. It just depends on how much is spent. Some of those activities may be invested in new production, so not just maintenance CapEx. Obviously, with the two new acquisitions being large, there's going to be more CapEx. But certainly, in percentage, it won't be any different looking at the size and scope of our business, but it will go up a few million bucks just depending on what we spend and invest in. And we're pretty excited about investing in some automation, whether that's Doman Lumber Division, Doman Tucker Lumber, Doman U.S. and some in Canada as well. So we're looking at different things to get more efficient and get our labor count down in certain areas and get our production up. So that's where some of those investments will go this year, Matthew.
Matthew McKellar: Thanks very much. I’ll turn it back.
Amar Doman: Thanks.
Operator: Thank you. Next question today is coming from Yurisleidy Zoreda from Canaccord Genuity. Your line is now live.
Yurisleidy Zoreda: Thank you. Good morning.
Amar Doman: Good morning.
Yurisleidy Zoreda: So that last question is actually a good segue for my first one because I was going to ask about automation with it becoming more topical on the back of increased fears around labor availability. So apart from that list of potential investments you mentioned in the last answer, is there any additional information you could share with regards to what you're thinking or doing in terms of automation productivity enhancements stemming from what you've seen Tucker Lumber do or otherwise?
Amar Doman: Sure. Yeah. We certainly have some new internal horsepower with Tucker's technologies. But going past those excellent things there, we're looking at trying to make our sawmills more efficient, and those are our specialty sawmills producing fencing and 1 inch and the like. So those are -- those, I would say, opportunities are being studied right now, and we'll make some investments, we believe, towards the end of this year in that area, whether it will be in Texas or Arkansas, those are where primarily our fence bills are. And we'd like to continue to automate, reduce labor and get efficiencies up. So we want to do one at a time. So we're working on one, and that should hopefully come to fruition sometime in the fall. And if that turns out well, I think you're going to see us populate that across the other sawmills.
Yurisleidy Zoreda: Thank you. That's helpful. And second one for me. Could you help us piecing together a little bit, how should we think about Q1 vis-a-vis Q4? I'm just thinking that there are obviously different moving pieces. On one hand, I believe Q1 is typically seasonally slowest. And I've also seen some peers sharing that they've been negatively impacted by weather and also the other softwood lumber prices have continued to [Technical Difficulty] so what can we think about Q1?
Amar Doman: Yeah. Sure. It's -- I think everyone knows we've had severe winter in different -- we always have winter, but we've had severe winter in certain areas that normally don't get affected by below freezing, especially in the Carolinas, in Texas, where it's been super cold, can't pour concrete, that's where everyone gets stalled back, right? So we've seen that happen. I think we're through the worst of it. Eastern Canada, where you are, I think, it's still pretty bad, with snow and everyone's just buried. So Q1 is Q1. We never look for it to hit a home run. So it's kind of going to go by how the weather goes. And we're starting to see now in the U.S., a pickup in construction, where Canada kind of Alberta East is still in the deep freeze and snow. But Q1 will be Q1, again, nothing to hit over the fence. But the good news is we don't really see too many other issues so far, except weather. And then, of course, the tariff and all that stuff, no one can really understand or navigate that until things hit and how the consumer reacts. So that one, we're all kind of waiting to see how that plays out.
Yurisleidy Zoreda: Okay. Thank you. That’s it. I’ll jump back in to queue.
Amar Doman: Thanks.
Operator: Thank you. [Operator Instructions] Our next question is coming from Nikolai Goroupitch from CIBC Capital Markets. Your line is now live.
Nikolai Goroupitch: Hi. Good morning. With the recent fires in California, can you discuss what sort of demand trends you're seeing in your fire-retardant products? And what margin profile you get there as well?
Amar Doman: Yeah. We don't disclose the margin profile per product. But certainly, in the last 1.5 months, our orders at our Fontana treating plants for fire retardant skyrocketed up. So we're busy. We've got a long order file down there near L.A. So we're very pleased seeing that. Not pleased by why we have that order file due to, obviously, some rebuild with that terrible disaster. But certainly, we've got a nice lift there. And we've got our production in line. We made some investments into the facility that produces that. We're also currently building a kiln that we're just waiting a final permit on in Northern California, so we can produce fire retardant in the Bay Area. And hopefully, this year, that will come online as well. So we're pretty excited about those opportunities in California.
Nikolai Goroupitch: I see it. And a tariff-related question here. On the res lumber side, in the case tariffs are implemented and we see SPF lumber prices go up in the U.S., do you think the untreated lumber price in Canada remains unaffected? Or would you expect it to move kind of dollar for dollar with the U.S. price?
Amar Doman: Yeah. So really hard to navigate that until the tariffs come in and the market settles. With so much SPF production going out of BC. We think SPF is going to have higher highs and higher lows no matter what is going to be a stronger year for lumber, we think, on pricing just because the lack of availability. You throw the tariff out, it will definitely inflate in the U.S. But up here, it might be a tariff out or tariff in price quoted by the mills. We haven't really got there yet. So I think in a couple of weeks, we'll start to see what the market will absorb, digest and trade to once these tariffs, if they do come in next week, look like.
Nikolai Goroupitch: Yeah. Fair enough. That’s all I had. Thank you very much.
Amar Doman: Thanks.
Operator: Thank you. Our next question is coming from Zachary Evershed from National Bank Financial. Your line is now live.
Zachary Evershed: Good morning, everyone. Congrats on the quarter.
Amar Doman: Thank you.
James Code: Thanks.
Zachary Evershed: Could you break out for us the contribution from price versus volume in the quarter?
Amar Doman: Yeah. Not off the top of my head, but I can tell you that volumes without the acquisition came up nicely in October and November. And then, of course, layering in Tucker, we had a nice lift there full three months of the quarter. But I don't have that breakdown off the top of my head.
James Code: Yeah. And Zachary, it's Jay here. Of course, we got a mix in the impact of acquisitions there as well. So it's a fairly complex mix of growth. But organic volume, we can tell you, was up slightly in the quarter.
Zachary Evershed: That's helpful. Thanks. And do you think there was anything kind of onetime in nature or a fluke or do you think this is more of a pushback to an underlying growth trend after a difficult two years?
Amar Doman: Yeah. Hard to say. So we're looking towards our key retail partners and asking them that question as they're closer to the end-use customer than we are certainly and they're calling -- I think you might have seen all the box stores and others say they're looking for a flat year on volume. I think it's just because of the uncertainties, I don't think it just directly relates to our particular business. I think it's -- the consumer is just kind of wondering what's going on and might be a little more hesitant. Having said that, we believe that's good for our products because we're well priced, and a consumer might look at lumber primarily instead of other expensive products in their backyard and might redo their deck or a fence and we're priced properly with the way lumber sits today. So we're hoping that translates into flat to slightly up. But let's get the spring season gets started, then we'll get a feel.
Zachary Evershed: That's helpful. Thank you. And then given the kind of puts and takes we've seen with the weather impacts, how is Q1 trending thus far?
Amar Doman: Yeah. I think I was just commenting on that. It's Q1. The weather has been horrible in February. January was a bit better, but we've had severe weather where we normally don't have it in February. So Q1 will be okay. Let's see how March shakes out, but there's a lot of snow and a lot of buried areas and a lot of areas that couldn't pour concrete as it went below freezing in certain regions that are actually growing rapidly as far as housing goes, but we're stalled. So that tells me we might get a little bit of a pickup kind of come around April, May, and things will start to gel better. But we're kind of waiting to see how March unfolds as it starts tomorrow.
Zachary Evershed: Thanks very much. And then just one last one. Obviously, you're digesting two acquisitions at the moment. At what levels of leverage will you start looking at M&A in earnest again?
Amar Doman: We tend to not look at that as closely as the barometer of when and why we'll do a deal. We'll figure out a way to make sure we stay within our limits where we're comfortable on the debt-to-EBITDA ratios and cash flows. And I can tell you with the last three years, as you know, Zach, very well, we've built the company into having a lot of free cash flow to hammer down the debt. So if we see a good opportunity, we're not going to let it go by. Are we chasing anything? No. But are we -- do we still have our eyes strategically on several different businesses? Absolutely. But we'll always behave appropriately on the balance sheet to never put the firm at risk or get into an area that we don't like. But certainly stronger has been better for us. And as we mentioned over time, sometimes in a year or two, we don't do anything like the last couple of years and then 2024 comes around, and we did two significant acquisitions that are fitting very well with the Doman system. And yes, we'll just keep going at it. So again, there's no strict formula of where we would do things or not do things. We'll make it work if we have to.
Zachary Evershed: Thanks very much. I’ll turn it over.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to Ali for any further or closing comments.
Ali Mahdavi: Thank you again for joining us on behalf of the Doman team. We look forward to speaking to you on our Q1 conference call. That concludes today's call. I'll turn it back over to the operator to wrap things up. Have a great day.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.